Operator: Good morning. Welcome to the Ross Stores fourth quarter and fiscal 2008 earnings release conference call. This call will begin with prepared comments by Michael Balmuth, Vice Chairman, President and Chief Executive Officer, followed by a question-and-answer session. (Operator Instructions) At this time, I would like to turn the call over to Mr. Balmuth.
Michael Balmuth: Good morning. Joining me on our call today are Norman Ferber, our Chairman of the Board; Gary Cribb, Executive Vice President and Chief Operations Officer; Michael O’Sullivan, Executive Vice President and Chief Administrative Officer; John Call, Senior Vice President and Chief Financial Officer; and Bobbi Chaville, Senior Director of Investor Relations. We’ll begin our call today with the review of our fourth quarter and 2008 performance, followed by our outlook for 2009 and the longer term. Afterwards, we’ll be happy to respond to any questions you may have. Before we begin, I want to note that our comments on this call will contain forward-looking regarding expectations about future growth and financial results and other matters that are based on managements current forecast of aspect of the company’s future business. These forward-looking statements are subject to risks and uncertainties that could cause our actual results to differ materially from managements current expectations. These risk factors are detailed in today’s press release and our fiscal 2007 Form 10-K, fiscal 2008 Form 10-Qs and fiscal 2008 and 2009 Form 8-Ks on file with the SEC. Earnings per share for the 13 weeks ended January 31, 2009 grew 9% to $0.76, up from $0.70 from the 13 weeks ended February 2, 2008. Net earnings for the quarter grew to a record $97.4 million, from $94.5 million in the prior year period. For the 52 weeks ended January 31, 2009, earnings per share grew 23% to $2.33, up from $1.90 for the 52 weeks ended February 2, 2008. Net earnings for fiscal 2008 increased 17% to a record $305.4 million, up from $261.1 million in 2007. Fourth quarter sales increased 5% to $1.734 billion, with comparable store sales down 1% from the prior year. For the full year, total sales rose 9% to $6.486 billion, with same store sales up 2% over the prior year. Merchandise and geographic sales trends were generally broad based. The best performing merchandise categories for both the quarter and the year were dresses and shoes, while the mid Atlantic was the strongest region throughout the year. We are very pleased with our solid earnings per share growth for both the fourth quarter and fiscal 2008. Our results are especially noteworthy, considering the extremely challenging macroeconomic and retail environment that became increasingly difficult as the year progressed. The key driver of our performance was the efficient execution of our resilient and flexible off-price strategies, including our ability to take advantage of the huge amount of close-out opportunities in the marketplace. This enabled us to deliver fresh and exciting assortments of sharply priced name brand bargains to our customers. More importantly, we accomplished this while also operating the business with leaner in-store inventories, which drove fast returns and reduced markdowns, resulting in higher merchandise gross margin. Operating margin for the 2008 fourth quarter was 9.1%, which was up about 5 basis points over the prior year. We were pleased with our ability to maintain profit margins during the quarter, despite the extremely difficult external environment. Our fourth quarter results were driven by solid gains in merchandise gross margin that were partially offset by some de-leveraging on occupancy and store operating costs, as well as by higher distribution expenses as a percent of sales. For the 2008 fiscal year, operating margin increased about 60 basis points over the prior year to 7.6%. As a percent of sale, key drivers of our improved profitability for the year were higher merchandise gross margin and lower distribution and shortage costs, partially offset by an increase in occupancy, store operating and incentive plan expenses. On average, in-store inventories were down in the double digit percentage range throughout 2008 and we ended the year down about 18%. We are planning to further reduce in-store inventories in 2009, with average levels targeted down in the double digit percentage range compared to 2008. Operating our business on lower inventory levels allows us to get more fresh and exciting merchandise in front of the customer. As we saw with our 2008 results, it also drives faster inventory turns, which typically results in lower markdowns and a higher merchandise gross margin. We believe this ongoing focus on tied inventory management will enhance our ability to meet or possibly exceed our financial targets in what we expect will be another very challenging year in 2009. Turning to our store expansion program, we added 66 net new stores in 2008 for a 7% increase. This growth included 72 new Ross Dress for Less and five dd’s DISCOUNTS locations. We also closed six Ross and five dd’s during the year. Now I’d like to update you on dd’s DISCOUNTS. We are pleased to report that we began to see stronger sales trends at this young business, beginning in the latter part of the third quarter and continuing throughout the important Holiday season. Consumers responded to the competitive value offerings to dd’s, which helped drive solid comparable store sales gains during the fourth quarter. As we’ve noted on prior calls, we have been working to improve the performance at dd’s. We closed five stores at the end of the fourth quarter after concluding that the demographics for these locations were not a good fit for this business. One site will reopen in 2009 as a Ross location. The earnings trend from dd’s in 2008, was about 35 basis points, and included expenses related to the five store closures. This compares to a 40 basis point drag in fiscal 2007. All in all, we are encouraged with the progress we are seeing at dd’s, especially considering that it was achieved in one of the most difficult retail climates on record. We believe we have an improved understanding today of this customer and have fine tuned our merchandise offerings to better meet their wants and needs. Going forward, we will continue to strengthen our assortments with attractive and compelling values that appeal to this budget conscious shopper. We believe these measures will enhance our ability to continue to improve the sales and profitability of this young chain over the longer term. Now let’s talk about our financial condition. Both our balance sheet and cash flows remain healthy as we ended 2008. We believe that our ability to continue to fund our growth in the midst of the current financial crisis is a significant competitive advantage. During 2008, after internally financing both our working capital and capital expenditure requirements, we used available cash to buyback $69 million of common stock in the fourth quarter and $300 million for the fiscal year. This allowed us to retire about $2.49 million and $9.3 million shares in the fourth quarter and fiscal year periods respectively. As previously disclosed, we plan to complete the remaining $300 million stock repurchase authorization during 2009. In addition to the buyback, our commitment to enhancing stockholder returns is reflected in the 16% increase in our quarterly cash dividend that our Board approved in January. Now I’d like to update you on an important initiative; micro merchandising. Micro merchandising consists of new information system enhancements and process changes that are designed to improve our ability to plan, buy and allocate product, at a more local level. We recently completed as planned, the initial chain wide rollout to about 15% of the merchandised classes in our stores. We are pleased to report that this rollout went smoothly and that these new systems and processes are working as planned. During 2009, we expect to rollout micro merchandising to another 50% of the merchandised categories in our stores, with the remaining 35% roll out in 2010. It is difficult to quantify the benefit from this new initiative especially, after just one season and with only 15% of our merchandised categories on the new platform. We expect that it will take a couple of seasons to build some history and use our knowledge to gain proficiency with the system’s capabilities. That said, we remain confident over the longer term. These new tools will drive gradual improvement in sales and profitability, not only in our newer markets, but also across the chains. Now I’d like to review the 2009 targets we communicated with our January sales release in early February. As previously noted, we have a very resilient and flexible off-price model, that when executed efficiently has enabled us to deliver solid results in both favorable and more challenging business cycles. We also recognize however, that we are still in the midst of one of the most severe recessions on record, and that consumers continue to face numerous economic head winds. As a result we have been cautious in setting our sales and earnings targets for 2009, with the hope that we can do better as we recently did in February when sales were above plan. For the 2009 fiscal year, we are forecasting same store sales to decline 1% to 3%, compared to a 2% gain in 2008 and projecting earnings per share in the range of $2.25 to $2.45. For the first quarter of 2009, we also are projecting same-store sales declines of 1% to 3%, compared to a 3% gain in the prior year and earnings per share in the range of $0.56 to $0.61, compared to $0.60 in the prior year period. We faced the toughest sales comparison of the year in the second quarter when comparable store-sales rose 6% last year benefiting in-part from the tax rebate checks. As a result, we are planning same-store sales declines in the mid single digits for the second quarter of 2009. With easier prior year comparisons in the second half, we are planning comparable store sales to improve and be relatively flat to last year. Now, John will provide some additional details on our fourth quarter results and review the underlying operating statement assumptions that support our earnings per share targets for the first quarter and fiscal 2009.
John Call: Thank you, Michael. As Michael discussed, our fourth quarter operating margin improved slightly over the prior year, as the 40 basis point increase in gross margin was partially offset by a 35 basis point increase in selling, general and administrative costs as a percent of sales. The higher gross margin during the fourth quarter was driven mainly by better merchandise margin, which increased about 70 basis points. As Michael noted, our more liquid ultimate by position this year, enabled our buyer to take advantage of the very attractive close-out opportunities in the markets. Combined with leaner inventories, we also realized faster turn and lower markdowns. The improvement in merchandise margin in the quarter was partially offset by an increase in occupancy and distribution expenses versus the prior year. About half of the higher, selling, general and administrative costs as a percent of sales during the quarter, was driven by the de-leveraging impact on store operating costs from the slight decline in same-store sales. The remaining pressure was mostly related to expenses equivalent to about $0.015 per share to close the five dd’s locations at year end. Finally as Michael noted, both our balance sheet and cash flows remained healthy. At the end of fiscal 2008, we had $322 million in cash and short term investments, and $150 million in long term debt, comprised of two series of notes due in 2018 and 2021; proceeds from which were used to finance our distribution. In addition, we have a $600 million un-drawn revolving credit facility with a wide syndicate of commercial banks that remains available and extends through July 2011. As a result, the combination of our existing cash balances, on going cash generating capability and current credit facility, gives us plenty of financial flexibility to fund our growth and working capital needs over both, a short and longer term. Now we’ll spend a few moments summarizing the underlying assumptions that support our 2009 fiscal year and first quarter EPS targets. A more detailed version of this is available in the written transcript of our January sales release recorded comments, in the investor section of our corporate website. Our fiscal year 2009 earnings per share projection of 225 to 245 is based on projected total sales growth of 1% to 3% over 2008, driven by a 5% increase in the number of stores, partially offset by a 1% to 3% decline in same store sales. Operating margin that is forecasted to be flat to down 40 basis points for the year, as an expected improvement in merchandise gross margin and lower freight and distribution costs as a percent of sales, are forecast to be offset by some de-leveraging pressure on expenses. Net interest expense grew about $7 million, a tax rate of approximately 39% and a 5% decline in diluted shares to about $125 million. The operating statement assumptions that support our first quarter EPS guidance of $0.56 to $0.61 include, total sales of our forecast to increase about 1% to 3% over the prior year. Earlier this month, we completed our first quarter store opening, adding 90 new locations, 18 Ross and one dd’s. The sales benefit from these new stores is expected to be partially offset by 1% to 3% decline in comparable store sales. On March 5, we reported that February same-store sales increased 1%, which was ahead of plan. While we were pleased with our performance in February, it is the smallest month of the quarter, with the important March, April Easter selling period still ahead of us. In addition Easter is moving to the second Sunday of fiscal April 2009, from the fourth Sunday in fiscal March last year. Holiday shifts like this can be difficult to predict. As a result, earlier this month, we reiterated our guidance for a same-store sales decline of 4% to 6% in March and a 1% to 3% increase in April. First quarter operating margin is chartered to be down 10 to 50 basis points. Our year-over-year comparison is impacted by operating margin in the first quarter of 2008 that benefited by about 30 basis points from income related to real estate settlement. Now I’ll turn the call back to Michael for some closing comments.
Michael Balmuth: Thank you, John. To summarize, Ross Stores was able to achieve strong sales and earnings growth in 2008, despite one of the toughest macroeconomic and retail climates on record. As mentioned earlier, we generated 2% growth in same store sales, added 23% gain during 2008. More importantly, we continue to show earnings growth in the second half of the year, despite the fierce economic headwinds that exerted pressure on the retailing world and became increasingly difficult as the year progressed. Our comparable store sales slowed from the strong 5% gain we posted in the first half to a 1% decline in the second half. However, our strict inventory management enabled us to drive faster turn that is led to better than expected gross margin. This allowed us to leverage these revenue gains into solid 13% earnings per share growth for the third and fourth quarters combined. These financial results, especially compared to the vast majority of other retailers, reflect the continued resilience and flexibility of our off-price business model when it is well executed. Looking ahead, we remain confident that our on going ability to deliver compelling bargains will continue to resonate with today’s increasingly value driven consumer. Our continued focus on efficiently executing our off-price strategies will remain the key to maximizing our prospects for sales and earnings growth, while optimizing stockholder returns over the both, the short and long term. At this point, we’d like to open up the call and respond to any questions you might have.
Operator: (Operator Instructions) Your first question comes from Marni Shapiro - The Retail Tracker.
Marni Shapiro - The Retail Tracker: Two quick questions, the first is housekeeping. You guys have done a lot of work on shrink over the years than you have initiated a couple of years back. I was curious as the economy gets tougher, have you increased your reserves for ‘09? Then the other is for Michael. I know there is so much inventory out there; we all know that there’s a ton of inventory out there. I was curious if you could just talk about the quality of inventory and if you’re seeing the quality of brand improve for you guys, still even at the end of the year and heading into ‘09 and if you feel good about those relationships heading into ‘09, as it seems some of the inventory commitments have started to comedown a little bit?
John Call: I will take the first one on the shrink reserve. This is John. Our practice is to reserve based on our most recent historical results and we recognize that in these tough economic times, there could be some upward movement in shrink; we’ve tried to provide for that. We are also investing pretty heavily in shrink control on measures. So, hopefully we’ll have a good result this is year.
Marni Shapiro - The Retail Tracker: Great, thanks.
Michael Balmuth: It is Michael. On merchandise availability and the quality of brands and relationships, our merchandise availability has been strong and continues to be, and this is at all levels, both in moderate and the upper end of the business and the quality of the assortments that are available, as well as the brand has really never been better. I think the relationships have gotten stronger through these tougher times for ourselves, with the marketplace and I think it puts us in good stead going forward.
Operator: Your next question comes from Kimberly Greenberger - Citigroup.
Kimberly Greenberger - Citigroup: John, I was hoping you could help us with the comp metrics in the quartered number of transactions versus the average signet. Then Michael if you could talk about your inventory plans for the year; on going double-digit declines, can you help us understand how you’re able to execute this and does it involve a change in your packaway strategy? Thanks.
John Call: Kimberly, this is John. On the comp metrics, actually our total basket is down a couple of points; the transactions are up one, which resulted in the downward comp. So we’re seeing customers spend a little less, but the traffic launch transactions have been pretty healthy.
Michael Balmuth: It’s Michael. Relative to our inventory position, as you all know we cut our inventory dramatically last year. It actually started at the end of ’07, cutting it. Basically, our premise was increasing the flow of receipts to stores in a more consistent, actually rapid manner and with the work we’ve been doing over the last several year, in approving the speed through our whole distribution network, that helped give us the capability to cut our inventories and anticipate that we would be able to still replenish the stores quite frequently. So, we have not seen the customers say ‘ouch,’ in terms of not having product in our store and so we’ll continue to run at lower level this year as we’ve said. It does not affect our overall packaway strategy. We are able to make decisions; however on some product that we might have packed before, we might slow now, some portion of it or all of it. So, on an overall basis though, our packaway strategy has not changed.
Operator: Your next question comes from Brian Tunick - J.P. Morgan.
Evren Kopelman - JP Morgan: Thank. Hi it’s Evren Kopelman for Brian. The first question is about your square footage growth. Have you thought about 2010, if you expect the unit growth to potentially return to normal rates or if you still think it will be in the mid single digit range and do you still think you can be a 1,200 store chain?
John Call: No, as it were in 2000, obviously we’re not that far out. We did I think last year announce that our growth this year would be more in the mid single levels and I don’t know whether we’re ready to talk about 2010 yet, based on what’s going on in the market.
Michael Balmuth: In terms of long term growth we still see ourselves having the potential of being 1,200 or beyond, the 1,200 is your number.
Evren Kopelman - JP Morgan: Okay and then secondly in terms of rent, how many stores do you have in centers with either Linens ‘n Things or Circuit City that could potentially give you kick out clauses or rent relief?
Michael O’Sullivan:
Evren Kopelman - JP Morgan: Finally, your packaway has really declined over the past several years from the mid 40s to I guess mid 30s at the end of last month. Again, you mention your packaway strategy is not changing, but can you talk a little bit more about whether that’s kind of the rate you plan to keep or what that means in general inventory planning?
Michael Balmuth : Well, our packaway inventory levels will fluctuate based on availability of product and also the level in which we exceed our sales plan and so, we haven’t had a materially different view of that for years and so I would say for modeling; John we are guiding people?
John Call: That’s even kind of on a year-over-year basis as a percent, and obviously there is seasonality that comes into play there as well.
Operator: Your next question comes from Paul Lejuez - Credit Suisse.
Paul Lejuez - Credit Suisse: Thanks, guys. You had mentioned your plans for merchandised margin to be up for the year. Can you maybe talk us through how that might look throughout the year; where your real opportunities are from a merchandise margin perspective and maybe address if you think that you still have opportunity in the back half? Then second, just wondering if you’ve seen any impact improvement in the stores that are located close to some of the Mervyn’s that are closed? Thanks.
Michael Balmuth : Well, relative to merchandised margins, as we look at ‘09 Paul, actually we think there’s still some upside as the markets are pretty good for us by size. Additionally, as we manage inventories tighter, we think we can get quicker turns and reduce some of the markdown. So, we still see some better upside in that throughout the year, and a piece of that by quarter is covering out that meaningfully right now as the total is looking at the four year level.
Paul Lejuez - Credit Suisse: Even if we get to the back half there is still opportunity, right?
Michael Balmuth : Yes, we think there’s opportunity in the back half as well.
John Call: Paul, on your second question about impact from store closings, our expectation, stating the obvious I guess is, had more competitive drive in the market, we’re going to master it from there. We think many of those shoppers are going to be looking for bargains and we think if we execute on our strategy of delivering those targets we’re going to pick up business.
Paul Lejuez - Credit Suisse: Have you seen anything just yet on some of those store closings?
Michael Balmuth : I would just add some things; we believe we are seeing some benefit, but it’s difficult really to quantify, especially with all of the other external issues that are impacting not only us, but all retailers today, but certainly over the longer term, closures could do some very good things for us. It should enhance merchandise supply; it should give us a further ability to attract good retail talent and I think our market share should grow as we can play as we have the competitive landscape.
John Call: In terms of quantification Paul, just to put in perspective, many of these retailers have remained closed for both [Inaudible]. If I go through the list we have 400 Ross Stores that are in five miles of Linens 'n Things; we have over 200 Ross Stores that are in five miles of the Mervyn’s; we have several 150 within five miles of the Shoe Pavilion. So there isn’t much about change that hasn’t had a retail go out of business within a competitive sort of feedback. We are pretty happy with our business so far based upon our preparation to performance and to be the successful [Inaudible] given the extent of the retailers going out of business.
Operator: Your next question comes from Jeff Black - Barclays Capital.
Jeff Black - Barclays Capital : For John, what drove the distribution expenses a little higher in the quarter? I don’t believe I caught that; and Michael, why not use this opportunity to buy a lot of stock up here and put some of that money into growing stores if you think you got a good stable ROIC model; and if we do at some point get around to growing square footage again, would we likely see Ross move into some new geographic areas? Are we there yet or would we see dd’s expense? Thanks.
John Call: Jeff, I’ll take the first one on the DC. They did de-lever by 20 basis points in the fourth quarter, but DC costs really can fluctuate on a quarterly basis. We have certain DC costs that get capitalized in inventory and as inventories comedown, those costs flow through the P&L, so there’s a timing issue there. So, I think it is probably more constructive to look at DC for the year, to take out some of the time indifferences and we did levered by about 20 basis points based on productivity and efficiencies that were achieved in the DC’s.
Michael Balmuth: On the square footage question Jeff, I mean to be clear, we are growing square footage about 5% to 10% this year and as John mentioned earlier, we’re looking at plans for 2010 and beyond. We expect to continue to grow. We haven’t yet made decisions about when we would actually market; that’s probably a couple of years away, but I’ve got no opinion of that right now.
Operator: Your next question comes from Stacey Pack - SP Research. 
Stacey Pack - SP Research: A couple of things; one is can you say what the drag was for dd’s for the quarter? Two can you tell us what shrink was for ‘08 or did you come out ahead versus your reserve this year? Three, the comp to leverage occupancy and SG&A and then just going back to the whole merchandise availability question; specifically thinking about the second half, how are you thinking about managing the business given that there was so much product late ‘08 early ‘09? I guess I’m kind of surprised packaway isn’t higher and I’m just wondering how you think about it. Have you changed your strategy at all to compete and how low can you get inventory going forward? Thanks.
John Call: So, the first one is dd’s drag. I’ll take that one. So for the year, it’s about 35 basis points. That included about five basis points related to the closure that we had at year end in dd’s. That compared to about 40 basis points in 2007.
Stacey Pack - SP Research: Is that in the fourth quarter or you don’t break it out by quarter.
John Call: That is broken out by quarter. We expect to improve on that as we go into ‘09. The second question was comp leverage? We think on the expense line we need probably about a 3% comp to get leverage on expenses and occupancy and the third question was on the shrink reserve. We actually were a little over reserved as we came in with physical inventory and I think we took about 10 basis points on the keen basis in the income during the year. So, I think we’re adequately reserved.
Michael Balmuth: Relative to how we’re thinking about the business going forward in terms of availability, we would expect that the year-over-year volume in the year and availability would still be there. I’ve been doing this for a number of years and availability has always been there, but I think retailers are having a hard time forecasting their sales patterns. When that happens, it leads to more inventory for the off-price sector and I don’t think this will be any different for the back half of this year. How low can we get inventories? I don’t know, okay. We’re going to keep moving the needle. We’re certainly going to do what we’ve said for this year and I would expect that it will take some further reductions going forward, but we haven’t started planning ‘10 yet from an inventory level basis at this point, but certainly, the business is built on receipts not inventory levels and as long as we’re getting enough fresh receipts to our stores, we seem to be satisfying our customers.
Stacey Pack - SP Research: Just on the inventory, a lot of retailers are getting better control over their inventory for the second half. So, why would you not be changing at all in your strategy? I mean why do you just think they’re going to be off in forecast? Wouldn’t it make sense to maybe have more packaway or something along those lines?
Michael Balmuth: When they get control of their sales line, I’ll be more concerned.
Operator: Your next question comes from David Mann - Johnson Rice.
David Mann - Johnson Rice: In terms of dd’s, John can you quantify in terms of basis points what that improvement you expect to be on the drag in ‘09? Then in addition can you give us a sense on how many stores or what kind of time line you would expect to get to profitability there, and then I have a second question for Michael.
John Call: Sure. We probably expect it to trend with five to ten basis points of improvement in dd’s in ‘09 Dave.
David Mann - Johnson Rice: And then how many stores or when would you expect it to be profitable?
Michael Balmuth:
David Mann - Johnson Rice: Okay, and then Michael, obviously the fourth quarter environment, everyone was like caught by the [Inaudible] that’s defined there. When you see the commercial environment as it’s sort of starting to pen out in the first quarter and related to what you saw in the fourth quarter, are you seeing any level of improvement in terms of what the competition is there?
Michael Balmuth: Are these promotional?
David Mann - Johnson Rice: Exactly.
Michael Balmuth: I think it’s a little tanner right now okay. Again pre-Easter hasn’t really kicked in yet. It’s too early February. Certainly the clear out prices on forward are extremely aggressive and department stores advertising, discounts on full product up to 85% offsets unusual; on new spring merchandise it doesn’t feel much more aggressive than it’s been in prior years.
Operator: Your next question comes from Sean Noughton - Piper Jaffray
Sean Noughton - Piper Jaffray: I guess I have a couple of questions here. First, can you remind us of some of the puts and takes within the operating margin that may impede your progress towards achieving, an operating margin that you’ve seen before, a 9.5%, 10% level?
Michael Balmuth: Having said that, we are doing a good job of maximizing merchandise gross margin of inventory control and we are always looking for expense save. The company has a very good history of being pretty fertile on the expense lines, so we’ll keep coming with those things and get back to more healthy margins.
Sean Noughton - Piper Jaffray: Then in terms of just specifically freight for the year, how far down are you planning that?
John Call: For the year we believe just based on fuel pricing, the way it’s been I think fuel pricing today is just at about 30% lower than it was last year. So, we do expect some help from that on the freight line; probably 10 to 20 basis points in ‘09.
Sean Noughton - Piper Jaffray: Okay and then on dd’s, is there anything specific within the trends in the merchandise that you are seeing within that business?
Michael Balmuth: It really is very broad based. Its broad based, the business is a younger business in terms of the customer level; in terms of some of the businesses in the store, the younger businesses are more important, but the trend is very broad based.
Sean Noughton - Piper Jaffray: Okay, and then lastly on the sales tax increase that’s set to go in here in California, on April 1, can you comment on or quantify any sort of impact that you’ve seen in prior times when you’ve had some sort of a tax increase?
Michael Balmuth: It’s constitutive; we’ve gone back and we’ve looked at it, but the reality is what’s happening in California is just a small subset of what’s happening in the overall economy. I mean with the housing market getting worse, with California legislatures [Inaudible] cost of budgets and federal governments and state of the banks, it’s hard for us to figure out what the impact of all of those things is and certainly, perhaps one thing, the sales tax increases have been very hard. We tried, but we just don’t have…
Operator: Your next question comes from Rob Wilson - Tiburon Research
Rob Wilson - Tiburon Research: You’ve had a lot of success, I guess recently with Mid-Atlantic. Are those stores as profitable as the rest of the chain now? Have they historically been less profitable? Do I have that correct?
John Call: Yes, you have that correct. Relative to store contribution they don’t do as well, because the volumes aren’t what the other parts of the chain are. We have done well recently in the Mid-Atlantic from a comp stand point, but they still aren’t at the level of store volumes of the chain.
Michael O’Sullivan:
Rob Wilson - Tiburon Research: So that gap is closing, but is it a material gap still John?
John Call: It’s enough to where they’re planning to work on.
Rob Wilson - Tiburon Research: Okay, also in your cash flow statement, I noticed an up tick in depreciation in Q3 and Q4 versus the prior year and I was wondering if you could help explain that John?
John Call: Sure. We brought online a part of our Moreno Valley distribution center, we had things added to that depreciation line and that’s started in kind of third, fourth quarter of this year.
Rob Wilson - Tiburon Research: So that will continue into the first half of ‘09 and do I have that right, $175 million to $180 million is your guidance for depreciation in ‘09?
John Call: Yes, that’s right.
Rob Wilson - Tiburon Research: Okay. One last question, in your guidance you provided for Q4, you suggested that there will be no interest income or expense; would it be flat net and there was certainly expense in Q4, so I was wondering if you could help us understand that, John.
John Call: Well that rate, that’s actually down on investments pretty severely during the fourth quarter and that’s what led to that difference in interest income.
Operator: Your next question comes from Dana Telsey - Telsey Advisory Group.
Dana Telsey - Telsey Advisory Group: Can you talk a little bit about, when you think about your customers in this environment, do you feel you’re gaining new customers from the stores or bigger share of the wallet from your existing customers and if so, how do you track it? The next thing is, on the competitive landscape out there, how has that changed given the ultra promotional environment that we’ve had? Is our discounters encroaching more, is the dropdown in department store pricing making it more competitive? How do you see the landscape and how are you adapting to it also? Thank you.
Michael O’Sullivan: Dana, this is Michael O’Sullivan. On your first question of our customers, it’s very hard for us to track precisely where our customers are coming from. We always believe that our customers have lots of different choices and we’ve always believed that our customers shop around within the markets. So, when we look at our business now versus the business of other retailer, what we have to conclude is that we are getting a bit of share; probably getting more customers into the store and buying those customers and therefore expanding our share versus competitors; just looking at the relative cost metrics that has to be true. In terms of your question about the competitive landscape, that’s a good question. It’s hard to predict when that falls on this economic crisis we’re going through. As we said a little bit earlier, we do think that we’re pretty well positioned and we expect to come out of this economic environment stronger. As more retailers struggle, as more retailers drive business, we think that’s going to be good for us long term.
Operator: (Operator Instructions) Your next question comes from Patrick McKeever - MKM Partners.
Patrick McKeever - MKM Partners: I know February is a small month and then you’ve got this Easter shift in the current month that makes it difficult to assess current trends, but I just wanted to ask if is there any discernable, meaningful change in trend. I mean you think consumers are feeling, your core customers are feeling a little bit better these days, a little bit worse? I know you talked about 2009 being a very difficult year, but any insight that you might be able to provide into just kind of current trends will be helpful? Thanks.
Michael Balmuth: I think all we’re willing to say is that we’re happy with February and it is very early in the season to think that we’re seeing anything discernable going on out of February and I think there is a lot of bad news out there and hopefully it will start moving in the right direction, but we are not economists and it’ll be too early for us as a retailer to form any conclusions.
Patrick Mckeever - Mkm Partners: Thanks Michael and then second question, you mentioned close-outs in the press release, that there are huge opportunities in close-outs and most of your buying, still manufacture overruns, right. Are close-outs becoming a meaningfully bigger percentage of your buys, and how about picking up those orders. Are close outs canceled orders as well or is that something different. I guess I’m just wondering how the mix of merchandise that you’re buying is changing.
Michael Balmuth: Okay, close-outs, overruns and canceled orders are all one and the same. So, the mix of what we are buying is we are a close out oriented company and we are seeing more close-outs available now, so close-outs even are a bigger part of our mix than they are normally, but it is a mix of all of those three types of purchasing that you said that forms the basis of our talking about ourselves as a close-out driven, off-price company. So, it’s somewhat different, okay, and the numbers are higher in the level of close-outs that are in our assortments today than before and the big point though is, it really isn’t just a percentage gain, it’s the quality of the close-outs versus the past. It’s been a very good shopping time.
Patrick Mckeever - Mkm Partners: So getting some brands anyway that you might have had a year ago, I mean you’re getting new…
Michael Balmuth: Some of that and more of the resources we’d like to carry to most of them. So, it’s a mix of some newer brands in the store and also a mix of getting more products from top tier brands.
Operator: Thank you. We will now turn the call back over to Mr. Balmuth for closing remarks.
Michael Balmuth: Thank you all for attending. Have a very good day.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.